Operator: Welcome to the Extreme Networks Q3 FY '17 Financial Results Conference Call. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the call over to your host, Ms. Laurie Little. Please go ahead.
Laurie Little: Thank you, Heidi and welcome to Extreme Networks' Third Quarter Fiscal Year 2017 Earnings Conference Call. This conference call is being broadcast live over the Internet and is being recorded on behalf of the company. The recording will be posted on Extreme Networks' website for replay shortly after the conclusion of the call. By now you've had a chance to review the company's earnings press release. I'd like to remind you that during today's call, management will be making forward-looking statements within the meaning of the safe harbor provision of the federal securities laws. These forward-looking statements involve a number of risks and uncertainties which could cause actual results to differ materially from those anticipated by these statements. These risks include our ability to successfully close the Avaya and Brocade transactions and to successfully integrate the acquired technology and operations into our business and operations, including, but not limited to, the following risks, difficulties we may experience in the retention, assimilation and successful integration of employees and teams, acquired operations, technologies and/or products; unanticipated costs of litigation or other contingent liabilities associated with the acquisitions that could negatively impact our operating results and financial condition; adverse effects on existing business relationships to suppliers and customers; and difficulties we may experience in reaching our aspirational goals related to the acquisitions. For a detailed descriptions of risks and uncertainties, please refer to our most recent reports on Form 10-K, 10-Q and 8-K filed with the SEC. You should not place undue reliance on forward-looking statements which speak only as of today. We undertake no obligation to update these statements after this call. Throughout this call, we may reference both GAAP and non-GAAP financial metrics. Non-GAAP information should be considered a supplement to and not a substitute for, financial statements prepared in accordance with GAAP. Reconciliation of non-GAAP to corresponding GAAP measures can be found in our earnings press release issued today. For your convenience, a copy of the release and supporting financial materials are available on the Investor Relations section of the company's website at extremenetworks.com. With that, I will turn the call over to Extreme's President and CEO, Ed Meyercord, for his opening comments.
Edward Meyercord: Thank you, Laurie and thank you all for joining us this afternoon. Today, we're pleased to announce solid third quarter results that beat our earnings per share guidance of $0.08 by 25% and more than tripled our earnings per share from the March quarter a year ago. The results underscore the success of our accretive acquisition of the WiNG wireless business from Zebra which drove 19% year-over-year top line growth and significantly increased cash flow during the quarter. The results also reflect the improved profitability and quality of our core Extreme networking business. This makes 8 consecutive quarters that our Extreme team has met or exceeded our earnings guidance. We came up short of where we wanted to be on the revenue side, but we more than made up for it with higher-quality solution sales, stronger gross margins and aggressive cost controls. The March quarter was an unusually busy quarter for us, with many projects taking place behind the scenes. In addition to the integration of the Zebra Wireless LAN assets that are now consolidated into our normal business operations, we realigned our workforce to take advantage of expanding wireless opportunities and new geographies and to accelerate the achievement of our target operating income margins. And we went live with a major IT conversion to a new platform supporting our global service sales and service delivery operations, retiring a 12-year-old civil system. The project with our new master data management system lays important groundwork for scaled operations in the future. In addition to this, we announced the Avaya and Brocade deals during the quarter which I'll provide more detail on later in the call. We believe the result of all the recent initiatives will be transformative. Extreme will be a clear leader in the enterprise networking industry with the #1 -- the #3 market share position and the new Extreme will have the important distinction of being the only pure-play end-to-end provider. We've strengthened our profitability with improved sales productivity and operating efficiency and we've built the foundation for a scalable operating and IT systems infrastructure to support well over $1 billion global revenue base after we integrate the Avaya and Brocade transactions. Turning to our financial results. Our 19% year-over-year growth in revenue was driven primarily by wireless, both from a full quarter of our new WiNG wireless products which performed slightly ahead of expectations for the quarter and year-over-year growth in our traditional ExtremeWireless products. Orders from large retailers and transportation logistics customers, many of whom fall in the Fortune 100, were in our top 10 deals in the Americas and EMEA regions. We saw approximately 1 million in cross-selling revenue synergy across WiNG wireless and ExtremeSwitching portfolios during the quarter. We expect these cross-selling activities to gain momentum throughout future quarters. In the March quarter, we drove higher gross margins to over 57%, up 360 basis points year-over-year and ahead of our Street guidance. We achieved this while on-boarding WiNG wireless revenue that was projected to be in the low 50% range. Our field sales teams have done an excellent job reining in discounts and positioning higher-quality solutions versus box selling. We're realizing benefits and see continued savings opportunities in our supply chain operations and we have several ongoing initiatives relating to software licensing, product life cycle management, partner programs, supply chain and discounting policies to continue driving toward our 60% goal. From a strategic perspective, our execution of the Zebra acquisition is validating our thesis to pursue accretive acquisitions. Recent results and our outlook highlight that this acquisition is going better than expected. Wireless is becoming a bigger driver of the entire edge solution, including wired and the WiNG wireless customers are outspoken and have responded favorably to our 100% in-source support model, the level of Extreme responsiveness and our solutions approach to their digital business needs. It is opening doors to other significant networking opportunities, even into the data center of some of these large Fortune 100 enterprise accounts. We see customer demand for a networking alternative to the larger industry players with highly competitive solutions from the wireless and wired edge through the aggregation layer core and data center. There is demand for vertically driven solutions that solve customer issues as they migrate to digital wireless and hybrid cloud environments. And finally, enterprise customers value superior customer support that comes with a lower total cost of ownership. A customer example is one of the world's largest logistics companies that relies on more than 15,000 of our access points and our wireless intrusion protection software to track millions of packages each day. They want us to compete for their wired edge and expressed interest in our fabric technology and opened up discussions with their data center team. Other examples are German manufacturing customers, large health care providers in the U.S., primary and higher education customers in all of our geos that now have expanded solutions complemented with Zebra, Avaya or Brocade. The customer and partner community response to our deal announcements has been terrific. At closing, we will have greater penetration in our target verticals with critical reference accounts and we will have over 10,000 new enterprise customers. We will offer expanded solutions to Avaya's VOS and VOS-based platform customers, leveraging their highly automated, agile and secure fabric technologies. On the Brocade side, we will offer expanded solutions including the new agile and automated SLX platform into thousands of large-scale enterprise customers, while we continue to support and innovate on the BDX switching and MLX routing platforms. Our engineering and product management teams from Extreme, Avaya and Brocade are already meeting and are working collaboratively on our combined technology vision and future road map. We will benefit from the newly refreshed platform releases for both Avaya and Brocade with VOS and SLX platforms and advanced fabric technologies that bring security, visibility, automation, resiliency and flexibility into the data center and campus networks at any scale. Each of our companies has been driving independently toward a bright-box model, a common technology base where we support simple form factors built on merchant silicon and a common Linux base. Our collective vision is to provide the industry's first fully customizable networking platforms powered by a set of services and functions access through a cloud -- a common cloud library of features. We're early in the process, but there's a lot of excitement within our teams about building on our leadership position in enterprise networking. In the near term and in all cases, our customer technology and product strategy for Avaya and Brocade will be the same as Zebra, Business as usual. We will provide our prospective customers, partners and distributors continuity of product line. We're mapping a path forward at natural technology inflection points without disrupting customer environments. As far as the status of the Avaya transaction, at this point, we're unaware of any other bidders involved in Avaya's bankruptcy sale process. We will have more clarity after the May 25 sale hearing. We're working closely with the Avaya teams on business and operations integration planning and are excited about the quality of talent we will onboard. If our deal is approved in the auction process, we will expect to close the transaction in the early July time frame. With respect to Brocade, their leadership has been very engaged and helpful with our integration planning process. We're excited about the talent we will bring to Extreme and the enthusiasm they are bringing to our pure-play networking vision. Broadcom and Brocade have indicated they expect their transaction will close in Broadcom's fiscal third quarter ending in late July and we will expect to close our transaction within 30 days of that day. As a reminder, we will be hosting an investor conference in New York City on Friday morning, June 2. We will have our senior leadership present and cover our technology vision, product road map and go-to-market strategy for the new Extreme. We hope you can -- hope you can join us. Finally, turning back to our financial outlook. We're expecting more than 20% year-over-year revenue growth in the fourth quarter that includes organic growth in core Extreme. We're launching our first multi-rate switching platforms this quarter with our X870 high-density 100-gigabit switches suited for top-of-rack and leaf-and-spine architectures, while the new ExtremeSwitching x620 and X460-G2 Ethernet multi-rate switches support 1 gig, 2.5 gig and 5 gig data rates. This has been much anticipated in the field and fills an important product gap for us. We also released our Retail Guest Analytics solution as part of our new Extreme WiNG wireless offerings. We have upside strength in our pipeline in the Americas and high confidence levels in all geos. We expect continued gross margin improvement and maintain our long term objective to drive gross margins in excess of 60%. Also, we're projecting double-digit operating income margins in the fourth quarter. We expect our year-over-year earnings per share to grow by more than 50%. With that, I'll turn it over to Drew to review our results and guidance in detail.
Benjamin Davies: Thanks, Ed. First, I would like to start with a few financial highlights from our third fiscal quarter of 2017, specifically the increase in our gross margin and the strong growth in our earnings and free cash flow as compared to the same period last year. Discounting improvements, enhanced operational efficiencies and contributions from the acquired wireless LAN business from Zebra drove the increases in our gross margin and earnings. Free cash flow growth benefited from profitability and accretion and accounts receivable collections from the wireless LAN business. These are all strong indications that we're on our way to achieving our margin target numbers. I would like to now briefly cover the financial highlights of the quarter and encourage you to refer to our earnings presentation that has been posted on our IR website for more details. Now let's move to the third fiscal quarter results, starting with revenue. Q3 '17 revenue was $148.7 million compared to $148.1 million in Q2 and $124.9 million in Q3 a year ago. Our revenue increased 19% year-over-year, was driven by the additional revenue from the acquired wireless LAN business, partially offset by back-end linearity of the quarter and discipline over discounting. The geographic split of our revenues were as follows, North America contributed 15 -- 52% to total revenue; EMEA contributed 35%; Asia Pacific contributed 10%; and Latin America contributed 3%. Product revenue for Q3 was $110.8 million compared to $109.8 million in Q2 and $92.7 million in Q3 last year. Q3 service revenue was $37.9 million compared to $38.3 million in Q2 and $32.2 million in Q3 last year. Moving on to gross margin and operating expenses. In Q3, GAAP gross margin was 55.3% compared to 50.9% in Q2 and 50.2% in Q3 last year. Non-GAAP gross margin was 57% and compares to 57.5% in Q2 and 53.4% in Q3 last year, a 136 basis point increase from the year-ago period. Our non-GAAP gross margins grew significantly, driven primarily by improvements in discounting, reduced supply chain costs and the increase in service revenue, partially offset by the impact of blending the lower gross margins with the new wireless LAN business. I'd also like to add that our non-GAAP product margin was up 530 basis points year-over-year for Q3. Q3 GAAP operating expenses were $85.4 million compared to $82.7 million in Q2 and $71.6 million in Q3 last year. In addition to the ongoing amortization of intangibles and stock-based compensation charges, Q3 GAAP operating expense includes charges of $11.1 million for integration and restructuring cost related to the acquisition of the wireless LAN business and our exit of certain leased facilities. Q3 non-GAAP operating expenses were $70.8 million compared to $71.2 million in Q2 and $61.6 million in Q3 of '16. The year-on-year increase in both GAAP and non-GAAP operating expenses were mainly attributed to the additional operating expenses from the acquired wireless LAN business. Third quarter GAAP operating loss was $3.2 million compared to a loss of $7.4 million in Q2 and compares to a loss of $8.9 million in fiscal Q3 of '16. Third quarter non-GAAP operating income was $14 million, flat compared to $14 million in Q2 and compares to operating income of $5.4 million in fiscal Q3 of '16. Our non-GAAP operating income margin improved to 9.4%, up from 4.3% year-over-year. The increase was driven by our improvement in gross margin, accretion of the Zebra Wireless LAN acquisition and better controls of our operating expenses. GAAP net loss for Q3 was $5.6 million or $0.05 per share compared to a loss of $8.6 million or $0.08 per share in Q2 and a net loss of $10.8 million or $0.10 per share in Q3 last year. Non-GAAP net income for the quarter was $11.6 million or $0.10 per diluted share compared to net income of $12.7 million or $0.12 per diluted share in Q2 and net income of $3.5 million or $0.03 per diluted share in Q3 of '16. Turning to the balance sheet, Q3 total cash and cash equivalents ended the quarter at $117.3 million, up $13.5 million from last quarter and up $28.9 million from Q3 of fiscal '16. Our cash balance was net of the $10 million deposit paid toward our bid for the Avaya Networking assets. In the quarter, cash flow from operations was $24.7 million compared to $9.7 million in Q2 and $4.9 million in Q3 last year. Free cash flow was $21.5 million compared to $6.7 million in Q2 and $3.6 million in Q3 last year. The year-over-year increase was attributed to improved profitability and accretion and accounts receivable collections from the wireless LAN acquisition. Accounts receivables were $102 million at the end of Q3, down $15.9 million from last quarter and up $39.3 million from Q3 of FY '16. Accounts receivable declined during the quarter was as -- declined during the quarter as we collected all of the receivables purchased from the wireless LAN business. DSO decreased to 62 days this quarter from 73 days in Q2 and increased from 46 days in Q3 of '16. Inventory ended at $47.7 million, up $300,000 from last quarter and down $5.1 million from Q3 of '16. Total debt outstanding at the end of Q3 was $94.9 million compared to $97.1 million in Q2 of FY '17. Now let's move to the guidance for our fourth fiscal quarter. We expect Q4 revenue to be in the range of $168 million to $178 million, representing a 20% to 27% increase compared to Q4 last year. Gross -- GAAP gross margin is anticipated to be in the range of 55.6% and 56.6% and non-GAAP gross margin is anticipated to be in the range of 56.5% and 57.5%. Operating expenses are expected to be in a range of $86 million to $90 million on a GAAP basis and $76.5 million to $80.5 million on a non-GAAP basis. The sequential increase represents greater sales commissions on increased sales as well as increased headcount in sales as we fill open positions in APAC and North America to better serve these markets. We expect Q4 interest expense to be $1 million. Tax expense is expected to be flat to Q3 levels. GAAP net income is expected to be in the range of $5.1 million to $8.5 million or a profit of $0.04 to $0.07 per diluted share it. Note that this is -- this guidance represents the first quarterly GAAP net income for Extreme Networks since the fourth fiscal quarter of 2013. Non-GAAP net income is expected to be in the range of $16.2 million to $19.6 million or $0.14 to $0.17 per diluted share. The average shares outstanding are expected to be 114.3 million on a GAAP basis and on a non-GAAP basis. The guidance we have provided for Q4 does not include the impact of the Avaya Networking business or the Brocade Data Center Networking business acquisitions. Our current expectation is that the Avaya Networking transaction closes in early July and the Broadcom Networking transaction closes in our first fiscal quarter of 2018. We will provide additional guidance for each transaction as the close dates become more definitive it. With that, I will now open it up for questions.
Operator: [Operator Instructions]. And your first question comes from the line of Matt Robison with Wunderlich.
Matthew Robison: Yes, just, I guess, obvious question is maybe you could help us understand a little bit more about the revenue story coming in under your expectations and what you've learned that gives you confidence that you'll be able to achieve the guidance you've given for the current quarter.
Edward Meyercord: Thanks, Matt. This is Ed. Yes, for some reason, it was a very back-end-loaded quarter. We had really high percentage of the orders that came in right at the bitter end. It put pressure on supply chain and getting product out the door. And I commented earlier that I don't want to get into deal-by-deal specifics, but that was clearly a factor. And so some of that will spill over into Q4 and that's one of the reasons why we have confidence. The other thing going on is that we're being more stingy out in the field. We're selling more solutions and we're being more disciplined around lower margin opportunities that are going our way. And so we're turning away a fair number of deals and I'd say we probably turned away a bit more than we expected.
Matthew Robison: Okay. So why -- so if you hadn't been so stingy, you would have been at the bottom of your range? Or obviously, it worked. You got to the bottom line number and the margins were nice, but...
Edward Meyercord: Yes, [indiscernible] going through different deals and we could recreate our revenue and gross margin or better. Look, at the end of the day, I think if we weren't as back-end loaded, that alone would have put us right up where we needed to be. And then I think there's just additional pressure because of the discipline on the sales side.
Matthew Robison: Were there any -- how does that map in the verticals or regions, the back-end-loadedness?
Edward Meyercord: Yes, the Americas was strong, a little softness in EMEA on a relative basis. APAC, steady over last year. We're seeing -- we have new leadership there. We're expecting a pretty nice rebound in that region. We're also expecting EMEA -- the teams in all of our geos have a lot of confidence in their commit levels and the pipeline we've got. And we've built in a little extra conservativism in our methodologies around how we're forecasting. So I hope that's helpful.
Operator: Your next question comes from the line of Mark Kelleher with D.A. Davidson.
Mark Kelleher: Just as a quick follow-up to that, because of the back-end loading, does that mean you've got greater backlog going into the June quarter? Does that give you some better confidence in that quarter?
Edward Meyercord: Mark, this is Ed. Yes, it does.
Mark Kelleher: Okay. And then on the -- is there a way you can size up the Zebra contribution? Or maybe give us some feel for what the organic growth would have been without Zebra?
Edward Meyercord: Yes, so I -- with respect to Zebra. Zebra came in, in line with our expectations, maybe even slightly ahead. The big plus from Zebra is that the gross margins were better than we had expected. So that contributed to gross margin strength. I think we've guided previously to say that we're at $28 million to...
Benjamin Davies: $29 million to $35 million is what we guided before.
Edward Meyercord: $29 million to $35 million.
Benjamin Davies: Yes. And we were in that range, even a little better than our forecast.
Mark Kelleher: Okay. And with regard to the acquisitions, I assume it's still too early to be having any communication with either of those groups, right? There's no way to kind of coordinate. And I'm just thinking that Brocade is a [indiscernible].
Edward Meyercord: No, that's [indiscernible] that's not the case. We actively working...
Mark Kelleher: Oh, you are. Okay.
Edward Meyercord: Actively working cross functionally with both Avaya and Brocade teams. We have a cross functions. And we've been doing a lot of work. Our teams have been working collaboratively, where we have conference rooms filled with Brocade, Avaya and Extreme teams, hammering through our vision, our technology vision, our product roadmap and how this is all going to come together over the next 3 years. Our teams are working on business integration, technology integration from an operating platform perspective when we look at quote-to-cash cycles. And we're actively working. As I mentioned before, we're not aware of any other bidders in the Avaya process. I should also say we think we would know. We're pretty certain that we would know if there were bidders. So at this point, we're locked and loaded and we're already working on combining the companies. The same thing with Brocade. We have a signed deal with Brocade and Broadcom. So as soon as that deal closes, then we're going to be positioned to close within 30 days of that. We're actively working on the combination of the 3 companies, very excited about the amazing customers that these companies have and how they're going to fold in and how it fits into our enterprise vision. The talented people, there are some terrific resources that we're picking up. And as the CEO of the company, the chemistry of the teams and the enthusiasm and energy around pure-play networking, it's fun to be around. So the teams are really excited and it's going to be a busy summer.
Operator: Your next question comes from the line of Alex Henderson with Needham.
Alexander Henderson: So a couple of quick questions. First one, I just wanted to go back to the organic growth of Extreme versus the acquisition. I think if I back that out, you were 1% or 2% organic growth, excluding the acquisition. And I know that's a little bit of a mixed calculation because you merged 2 teams and, obviously, there's some cross-selling going on in there. So is that a correct estimate, roughly?
Edward Meyercord: Alex, I -- let me comment. And I could let Drew jump in if he wants to. Because of the back-ended nature and what we pushed, we were down probably 3%, 4% year-over-year on the Extreme side. I think we would have been right there. We would have been flat. As I mentioned before, we're projecting modest organic growth in the Extreme business in Q4.
Alexander Henderson: Okay, so second question is going at these deals where you've decided to be more aggressive about getting your price as opposed to giving discounts which is a great thing to do and I'm totally for it. But the question is, are you losing those customers? Or are they just saying, "Well, I'm not going to buy it if I'm not going to get a discount," and they're still sitting out there with the older equipment, having not replaced it or somebody else getting in and putting gear in. Is it a competitive situation? Or are you, in fact, just not getting the deal because I wanted a discount or I'm not going to do it.
Edward Meyercord: Alex, I'm not sure you're going to like the answer. It's a combination of both. We've got -- we have 10,000 -- 6,000 orders in the quarter approximately and then when we're looking at discount authorizations, there's tens and tens and tens of different deals that come through. In some cases, it's business that we probably don't want and we're going to let that go. In other cases, maybe deals get pushed out or maybe the purchase decision is delayed.
Alexander Henderson: The reason I asked the question is a lot of people won't buy a deal, buy something that they want until the sale's on. And if -- it often happens is that they'll wait and they'll think, "Well, I'll get it next quarter at the end of the quarter." And then that doesn't happen, then after a couple of quarters of waiting, they finally say, "I really do need the equipment," and step up. Is there some pent-up demand, do you think, as a result of this approach, that sitting there going, "I'd like to buy it, but I'm not getting the price," and eventually, they'll cave?
Edward Meyercord: Alex, it's a tough call. I'd hope that, that's the case, but it's really hard for us to say. What I will say is we have held the line on discounting right up through the end of the quarter. So historically, you might have seen some gross margin degradation or discount increases towards the end of the quarter. And our teams are doing a terrific job of holding the line. We really -- we give a lot of credit to the field and the new approach and the leadership team and how they're running the business.
Alexander Henderson: The other question on conditions. Clearly, Europe is a little bit soft. It's pretty much every company that's reported so far. Can you talk to what percentage of your European business is related to U.K. which is going through some transitional issues, as well as France which has got an election going on that was scaring people. Is that part of what's causing some of the flux there? Or is it just execution in the environment ambiently? Is it similar in Germany, for instance, as it would be in those other two?
Edward Meyercord: It is. For us, Germany is our strongest market in EMEA and the -- that team continues to perform well and we see the market remaining strong for Extreme. We have seen some disruption in the U.K. It's hard to call how Brexit-related it is or to put our finger on exactly what's going on there. We have a lot of initiatives underway to turn that around. We also have strong market position in Middle East and some markets like Turkey, for example, where there's been a lot of unrest and a lot of things going on in that market and -- that we've seen some business slide there. But overall, we're bullish on EMEA and the -- some of the softness we had this quarter, our teams think that they're going to get it back in the fourth.
Benjamin Davies: We also had some softness in oil-dependent countries as well, so kind of the whole EMEA and Middle East.
Edward Meyercord: Yes.
Alexander Henderson: So it sounds like the pretty broad mix of areas that had some pressure. One last question and I'll cede the floor. As you're thinking about being a $1 billion-plus revenue company post these deals, obviously, I would think you would benefit enormously on the purchasing scale. Have you had any discussions with your suppliers on what the benefit of that might look like and what kind of margin improvement you could get as a result of volume discounts as you aggregate these product lines? And any thought on how much of the product purchasing you're doing can actually be aggregated without having to redesign the parts so that they're common?
Edward Meyercord: Yes and this goes back to Mark's question. We're -- our teams are actively working this and the answer is yes. We see a lot of opportunities. We have opportunities to leverage our relationship with Broadcom, our largest vendor or supplier. And then with our manufacturers, we're seeing a lot of opportunities. So it's a work in process. It'd be premature for me to try to provide specific guidance, but we do expect it to get to our 60% gross margin objective next year and we think that's only going to be accelerated with these acquisitions. Obviously, from an operating income perspective, there's operating leverage with the businesses that we're bringing over. So there's a fair amount of synergies. So we will expect to see leverage on the operating income line as well.
Alexander Henderson: Can you at least address what portion of the parts are common and what portion of the parts would need to be redesigned in order to get commonality to get this -- the volume benefits?
Edward Meyercord: Yes, I mean, we're all -- we're using the merchant silicon. There's overlap in some of our suppliers and there're some new opportunities. It's -- it would be a bit premature for me to comment specifically on that. Maybe we can take it off-line after the call.
Operator: Your next question comes from the line of Simon Leopold with Raymond James.
Simon Leopold: Great. A couple of things I just want to follow up on. One was maybe, rather than focusing on the organic, inorganic, if we could get a sense of what portion of total product revenue was directly related to wireless LAN.
Edward Meyercord: Sure. Wireless LAN was over 30% for the quarter. That's helpful. I don't know if there's any other comments that you want to add, Drew. That's the number.
Benjamin Davies: Yes. No, that's it. It's growing, yes.
Simon Leopold: Okay. And then, I guess, the other thing I want to come back to is, within your prepared remarks, you sounded more constructive on your own high-end Ethernet switching elements and then with the acquisition from Brocade, Avago, you'd be picking up some other data center higher-performance Ethernet switches. That puts you into a somewhat different competitive environment than you've been traditionally. That's going to put more weight of you facing off with companies like Juniper and Arista and not just Cisco and HP. Can you talk a little bit about how that shift in the competitive landscape affects your strategy?
Edward Meyercord: Sure. Interestingly, it doesn't really change our strategy, Simon. It just gives us more ways to sell into existing customers. You might be surprised to learn how many Fortune 100 customers we have that are using -- that we acquired through Zebra and that Extreme supports anyway. We have -- I gave an example of a very large Fortune 20 logistics company that is -- we're a very strategic supplier of that company and they really like the quality of service that they're getting for us, the level of attention that we're providing out of the edge. They want to expand our presence at the edge and they've invited in and now we're having discussions with their data center teams about fabric and our switching technologies now. It's the higher end of the enterprise. So we're still focused on the enterprise. We're end-to-end, wired, wireless, from the wired and wireless edge, all the way through the data center. Now with Brocade, you're right. We're a much larger data center. We really see the competition there being Cisco, HP and that market is buying through Arista. Arista has been very vertically focused. We're not sure if we're overlapped now with Arista, but we may see more of them. It's really going to be a continued competition with Cisco and HP.
Operator: [Operator Instructions]. And your next question comes from the line of Al Tobia with Sidus.
Alfred Tobia: Ed, I've a couple of questions. First was the large deals from the Zebra side of things. I know that there were some 8-figure deals that were out there. Have any closed? Or do you expect any in June?
Edward Meyercord: Yes. The answer -- Zebra has very large customers, retail, transportation, logistics and typically, the order sizes are a lot larger. We're looking -- in terms of the pipeline, there's a lot of big deals out there with these kinds of customers. And as I mentioned to Simon before, what we're excited about is the fact that there are opportunities to sell other products into these customers and we're excited about those opportunities.
Benjamin Davies: Just this quarter, Al, 4 of our top 10 deals came on the Zebra side.
Alfred Tobia: Okay. But I think, when we spoke, you said that there were about 3 to 5 of these sort of needle-moving deals that were around and you hadn't forecasted and they hadn't materialized. So did any really large deals close in the quarter or no?
Edward Meyercord: No.
Alfred Tobia: Okay. Second thing is the back-end loading. Regarding the June linearities, just what you've seen so far through April, did you -- was April above normal linearity?
Edward Meyercord: Yes.
Alfred Tobia: Okay. Then the 10% operating margin target that was given, if I remember correctly, before the Brocade and the Avaya deals, it was said that, based on Zebra, that you would be able to do 10% in the September quarter. So is that still the case? Will you be able to do double-digit margins without the impact of those deals in September?
Edward Meyercord: Well, we got pretty close to it this quarter. We're not going to...
Benjamin Davies: We're forecasting in next quarter, but you're talking about the September quarter, right?
Edward Meyercord: [Indiscernible] the September quarter, I don't think we're going to forecast Q1 at this time, Al, but I think...
Alfred Tobia: I thought the statement was you guys were going to be able to do double-digit margins even in the seasonally weak quarters of 2018. Is that -- am I [indiscernible]
Benjamin Davies: Yes, we just -- I mean, we just haven't guided there yet and we're very close. I mean, we're 9.4% this quarter and last quarter and we'll be very close. We just haven't given guidance for Q1 yet. And by the time we do, it's going to be -- it's going to have revenues from both the Avaya and Brocade deals.
Alfred Tobia: Right, okay. And then just assuming those deals close on that time line, the funding for them and the time at which you kind of pay down that debt to where you're sort of cash-neutral on the balance sheet, what are we looking at there, roughly? And then I'm done with my questions.
Benjamin Davies: Yes. So kind of what we have left or what we have to borrow here is we have -- well, what we have left to pay. So we paid a $10 million deposit on the Avaya deal. So we've got about $70 million left to pay on the Avaya deal and $35 million on day 1 for the Brocade deal. So we need about $105 million. We're going to take about that much. We're still working on the final amendment to our credit agreement, but we'll take roughly that amount. It could be a little more, a little less, depending on our cash flows in Q4 and our cash flow forecast for Q1. And we're expecting the cash flows from the new deals to really pay for the incremental debt within 4 to 5 quarters.
Operator: I'm showing no further questions at this time. I would now like to turn the conference back to Mr. Ed Meyercord.
Edward Meyercord: Thank you. Well, in closing, I'd like to say I'm pleased with the progress that our team is making. We're executing well on our operating plan, highlighted by 8 quarters in a row of delivering on our earnings guidance. We've got exciting new growth opportunities that lie ahead with our new wireless LAN customers, innovative new product releases and the exciting expansion of our business once we close Avaya and Brocade which we expect will bring in, in excess of $430 million of revenue and put us north of $1 billion, an important milestone for Extreme. So I'd like to thank shareholders and customers for their continued support and all of our employees for all their hard work. Thank you and I look forward to seeing many of you at our June 2 Investor Day.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.